Operator: Thank you for standing by. Welcome to the Dassault Systèmes Fourth Quarter 2018 Financial Results Call. [Operator Instructions]. I must advise you that this conference is being recorded today. I would now like to hand the conference over to François-José Bordonado, Vice President, Investor Relations. Thank you. Please go ahead.
François-José Bordonado: Thank you very much. Thank you for joining us on our earnings conference call with Bernard Charlès, Vice Chairman and CEO; and Pascal Daloz, Executive Vice President, CFO and Corporate Strategy Officer. Dassault Systèmes results are prepared in accordance with IFRS. During 2018, the first year of implementation of IFRS 15, we have provided IFRS financial information on both an IFRS 15 and IAS 18 basis to provide comparability to prior years. All figures on this call are presented under IAS 18 and on a non-IFRS basis, with revenue growth rates in constant currencies, unless otherwise noted. See our earnings press release appendix for detail regarding IFRS 15 and IAS 18 financial information and the reconciliation schedules of these two standards as well as IFRS and non-IFRS information.  For 2019, our financial information and objective will be given in IFRS 15 only and will reflect the new IFRS 16 lease standard also. Some of our comments on this call will contain forward-looking statements that could differ materially from actual results. Please refer to today's press release and to the Risk Factors section of our 2017 Document de Référence. All earnings materials are available on our website, and these prepared remarks will be available shortly after this call.  I would like now to introduce Bernard Charlès.
Bernard Charlès: Thank you. I'm very pleased to be with you today. 2018 was a remarkable year, with trials ranging from startups to cities, aligning themselves with our goalposts and believe we are at the equal level of large 3DEXPERIENCE platform transactions. We strengthened our position across industries and domains, and we expanded our addressable market. Looking at 2018 financial performance, we achieved all our objectives. Total revenue and software revenue grew 10%. License revenue increased 11%. We delivered strong profitability, and earnings per share increased 16% or 20% at constant currency.  I believe all key elements are in place to deliver sustainable growth in the coming years with our 3DEXPERIENCE platform and industry solution experiences, where, during 2018, 3DEXPERIENCE software revenue increased 24%. We also reached some important threshold levels, as Pascal will discuss. With 3DEXPERIENCE on the cloud serving as an important vehicle for market expansion on new usage, thanks to the robustness of our offer and the platform value we bring. With our industry solution approach, where 8 out of 12 industries delivered double-digit software revenue growth in 2018. With our sales channels, where we gained 27,000 new customers and with acquisitions complementing our domains and industry focus.  During 2018, we significantly strengthened our market offer for the fashion industry with Centric PLM, for cyber system with the acquisition of No Magic and for manufacturing ERP with IQMS acquisition. We also recently completed two small acquisitions in system with Argosim and in chemical fluid simulation with COSMOlogic. In 2012, we introduced a broader purpose for Dassault Systèmes to provide business and people with 3DEXPERIENCE universe to imagine sustainable innovation capable of harmonizing product, nature and life. We see the century before us as a time for unprecedented invention on innovation, a true industry renaissance. At the same time, we believe it is critical for all of us to see ourselves within the larger context. It is no longer about product or service. It's about an experience, and the world of experiences is not limited but extends to our environment, including the urban environment of the future, of course, where more than 70% of the world population will live.  A Harvard study we shared this morning talked about the power of handprints. When people speak of the environment, they ask what is your footprint and how can you minimize your negative impact. The study revealed our handprints, the ability to help companies improve sustainability, can have a positive and outsized impact. This is our goal here at Dassault Systèmes. Critical to this purpose is an underlying belief of the immense power of the virtual world, thanks to the ability to imagine and explore digitally, to extend and improve the real world to transform.  We see strong alignment of our purpose and the priorities of our customers. One of our client in architecture and construction, the architects works on developments in 44 countries around the world. They describe what they do as a creative transformative culture, corporate, residential and other space that work in synchronicity with their surroundings. The 3DEXPERIENCE platform helps them to ensure that, that vision is truly achieved.  In India, the government is targeting to create 100 Smart Cities programs. We are working with one of the first programs, Jaipur city, with a population over 3 million. The city officials selected the 3DEXPERIENCE platform on the cloud to listen to the voice of citizens and to improve the lives of citizens in terms of mobility, environment with more green spaces and information sharing with all stakeholders to improve planning, building and construction within the context of the city life.  Now many people speak of platforms, but what makes Dassault Systèmes a catalyst and an enabler of the 21st century industry renaissance is really, first, it's not about us being a platform company but helping clients become themselves platform companies with complete end-to-end digital continuity. The platform connects the knowledge and the know-how, why most of our competitors digitalize, how something works physically. The 3DEXPERIENCE platform gives access to all knowledge and know-how, thereby enabling the creation of value networks.  In that regard, we are very pleased to share that the Airbus group has selected the 3DEXPERIENCE platform on our aerospace industry solution experiences in connection with its global digital enterprise transformation program. We have entered into a strategic partnership, where the 3DEXPERIENCE platform will play an integral role in the enterprise transformation of Airbus group and its value chain as it ushers in the next phase of world-class aircraft creation. Also in aerospace, Safran Nacelles has adopted the 3DEXPERIENCE platform and several of our industry solutions to drive digital continuity across manufacturing and after-sales services. You may recall that in the second quarter, we announced that Safran Electronics & Defense is adopting the 3DEXPERIENCE platform, too.  In my opening remarks, I touched on the role of 3DEXPERIENCE on the cloud. For us, it expands our market footprint, bringing new usages and new types of users on -- is opening more doors. For example, in our core industries, new electric vehicle startups are able to be productive very quickly such as EVELOZCITY. In industrial equipment, Kärcher is using 3DEXPERIENCE platform and industry solutions on the cloud to manage its product development process, leverage knowledge and know-how across the company and monitor requirements management. In diversification sectors, a perfect example of usage is the well-known Danish brand, ECCO Shoes, wanted to produce a unique in-store experience. They adopted our cloud-based 3DEXPERIENCE platform with CATIA applications to interpret biomechanical data into geometries for 3D printing. In under 2 hours, a fully customized shoe based on anatomical scanning and real-time analysis is finished.  Another example of the platform's value is with Naval Energies, who is focused on sustainable energy, including offshore wind developments as well as harnessing thermal energy from the sea. Digital applications on the cloud will help Naval Energies reduce development time and cost.  I'm pleased to announce that we are creating 3DEXPERIENCE@WORKS, a new business application family on our 3DEXPERIENCE platform to bring the power of the platform and portfolio to the mainstream market.  SOLIDWORKS is now natively on the platform with xDesign. Recently acquired IQMS will be rebranding as DELMIA WORKS. It will be part of this new business applications family to serve the mainstream manufacturers. We believe this offer on the 3DEXPERIENCE platform will change the game in the mainstream market by connecting the dots between business and manufacturing processes. We will have more to say at SOLIDWORKS World in Dallas next week.  Let me now turn the call to Pascal.
Pascal Daloz: Thank you, Bernard. Hello, and thanks to all of you for joining us. Sorry. Moving to our business review, let's begin with 3DEXPERIENCE, where I think we are now reaching important threshold levels. Let's zoom on several key metrics we follow. Looking first at the software on the growth perspective, 3DEXPERIENCE software revenue increased 33% in Q4 and 24% for the year 2018 in total. From a penetration rate, we move up to 25% of related software revenue from 21% in year 2017.  Looking from a license revenue perspective, 3DEXPERIENCE licenses revenue grew 45% in the fourth quarter and 31% for the full year. This translates to a penetration rate moving to 40% for year 2018 from 33% in year 2017 of related license revenue. Moving to industry highlights. During year 2018, all of our core industries had a double-digit software growth, and 5 of our 9 diversification industry as well. With the strength in our core vertical, including the contribution from acquisition, diversification industry represented 32% of our software revenue, similar to year 2017. Now let's move to a regional business review. Americas software increased 4% in the fourth quarter, with a good growth in indirect sales and a mixed performance for our direct sales. For the full year, software revenue increased 7%, reflecting the contribution from the new acquisitions, strong growth in subscription revenue and continuing strengthening in Latin America.  In Europe, software revenue increased 12% in Q4 with a very strong 3DEXPERIENCE activity in Western Europe, notably France. Looking at the year, Europe grew 8%, led by Western Europe and strong recurring software revenue representing -- sorry, results generally. Asia delivered the highest software growth of both the quarter up 19% and the full year up 16%, with a double-digit growth for all 5 geographies and importantly, its 2 largest, Japan and China. Both licenses and recurring revenue results were very solid in this region.  Finally, a major component of expanding our reach and market leadership is through the geographic diversifications. High-growth countries' software revenue increased about 80% for both Q4 and the full year and now represents 18% of the total software revenue, up 100 basis points from year 2017. The strongest performers for the year were China, South Asia and Turkey.  Moving to a brand review. CATIA software increased 2% in the quarter, reflecting a high base of comparisons, bringing its full year growth rate to 4%. Keep in mind that Q4 last year, CATIA was growing at 10%. ENOVIA had a number of deals that closed in Q4 to make it the biggest quarter in its history, with license revenue up 40 -- sorry, 84%. Total software revenue increased 33% in Q4, bringing its growth for the year up to 14% from 7% through the first 9 month period. As we had expected, SOLIDWORKS returned to higher growth in Q4 following a tough Q3 comparison up 12% and bringing its software growth for the year to 10%. Licenses revenue increased 14% in Q4 and 9% for the year.  With the recall, exceptional results in year 2017, these results speak to its offer for the mainstream market, the strength and the reach of its channel and SOLIDWORKS' market leadership. Other software increased 13% in Q4 and 15% for year 2018, with SIMULIA up double digits, including acquisitions. DELMIA also had double digits, benefiting from growth in multiple industry and especially, Aerospace & Defense. We had also a solid support from BIOVIA especially in Q4 and EXALEAD and Quintiq for the year.  Looking at our portfolio. During the year, we made several acquisitions, strengthening our offer; by domain first, with No Magic, an important addition to CATIA systems in January in offer; by industry, with the majority ownership of Centric PLM, the leader in PLM for the luxury, fashion, retail and consumer group sectors; and by market segment, with IQMS for manufacturing ERP for the mainstream market. In early January, we completed the acquisition of IQMS for $425 million. For year 2019, we are assuming a revenue of about €58 million and a €0.02 contribution to EPS. At the operating margin level, we estimate a dilution impact of about 30 basis points.  In early January, we also acquired Argosim, a privately held company based in France with 12 employees. Argosim bridges the gap between specification and test by bringing the requirement and the functional experience at the first time. This acquisition nicely complements CATIA Systems' portfolio. In December, we acquired COSMOlogic, a privately held science-based company with 16 employees based in Germany. It is focused on the simulation of chemical processes for the prediction of the fluid phase thermodynamics. COSMOlogic's technology has proven to be accurate and 3 to 4x order of magnitude faster compared with molecular dynamic calculations. It will reinforce several of our industry solution experiences, notably for CPG energy process and utilities as well as life sciences.  Moving now to our financial results. Let me recap briefly. Our fourth quarter came it -- at or above our guidance ranges. Total revenue was up 13% compared to our 9% to 11% constant currency range. Software revenue increased 11%, above the 8% to 10% range, with licenses revenue up 13%, the high end of our range, and recurring software growing 10% compared to the 8% to 9% range. Services were up 33% at constant currency in Europe, above the €20 million. And finally, our operating margin was 37.4% compared to our objective of 36.5%. EPS was €1.1, up 24% and reported as a constant currency ahead of our €0.96 to €1 targets. Moving to our year-over-year comparisons. In the fourth quarter, total revenue increased 13% and 10% on an organic basis. So a strong quarter all around, thanks to both software and services strength. For the year, revenue increased 10% in total and 7% on an organic basis.  Summary. Software revenue grew 11% in Q4 and 10% for the year and on an organic basis, increased 8% and 7%, respectively. Zooming in our license revenue. We had a very solid performance for both the fourth quarter and the year. With respect to Q4, license revenue increased 13% in total, well supported with 11% growth on an organic basis. To give more context, let me remind you that Q4 '17 was a very strong quarter. From a channel perspective, direct sales with BT and the professional solutions channel led third quarter. For the full year, licenses revenue increased 11% and 9% on an organic basis. So very solid results.  Recurring software revenue increased 10% in Q4, 9% for the year 2018 on a double-digit subscription growth and stable support renewal rates. On an organic basis, recurring revenue increased 6%, up 100 basis points for year 2017 and more to come in year 2019, as I will discuss shortly. Moving to services. We had a strong fourth quarter, reflecting continued good performance for 3DEXPERIENCE implementation activities. We also saw a catch-up from earlier in the year, in particular for Quintiq, where the team did an outstanding job.  On an organic basis, services revenue increased 26% in the fourth quarter. So you can see the strong effort and increased 8% in the total for the year. The fourth quarter performance enables to recover from a gross margin perspective and show a slight improvement for year 2018 coming in at the 12.9% compared to the 12.7% in year 2017. For year 2018, our operating profit increased 7% to €1.1 billion, and the operating margin was 31.8% and reflects an organic improvement of 70 basis points, largely offsetting 80 basis point of the acquisition dilution. Currency had a negative impact of 10 basis points. Our EPS was up 24% in Q4, with a 4-point positive impact from the lower effective tax rate. For year 2018, EPS increased 16% or 20% including currency with a 5-point tax rate benefit to the growth rate. So for both the quarter and year, our underlying performance were the principal drivers of the gross earnings per share. Our operating cash flow increased 21% to €899 million for year 2018 on net income and net cash flow -- and noncash, sorry, elements. Our unearned revenue totaled €1.1 billion at December 31 under IAS 18. This represents an increase of 10% at constant currency and perimeter compared to our recurring revenue goals of 6% for the year.  The company implemented IFRS 15 effective as of January 1, 2018. This implementation resulted in some quarterly variation in recurring revenue software recognitions compared to under IAS 18, the prior standard. In the presentations, we have outlined the quarterly timing differences for recurring software revenue under IFRS 15 compared to IAS 18 during the year 2018. For the full year, the revenue difference was very small, consistent with what we indicated at the outset of year 2018. Specifically, total revenue and software revenue were each 1 point -- €3.1 million higher under the IFRS 15 compared to IAS 18. For earnings per share, this translated into essentially no difference on the IFRS basis between the 2 standards and a €0.01 difference on a non-IFRS basis.  Before moving to our financial objectives, just a few brief words on IFRS 16 lease effective as of January 1, 2019. As many of you know, this new rule puts all type of leases on a similar footing. They move from the lease into -- onto the balance sheet. We will be adopting IFRS 16 on a modified cost effective basis, and therefore, will not be restating prior periods. From an income statement perspective, the implementation is expected to have an immaterial impact on the company's year 2019 earnings with an estimated €11 million decrease in operating expenses and, hence, improvements to operating profitability and margin and an increase in interest-related financial expense estimated at €13 million, both of which are expected to be recorded on a linear quarterly basis.  On the balance sheet, we will record new assets in the amount of €319 million right-of-use assets and the liabilities in the amount of €470 million and will account for the transition effects of these accounting changes in stockholders' equity with a pre-tax decrease estimated at €55 million. These are current estimates subject to final adjustments. Now let's move to our guidance, which was in this morning's earnings press release and is detailed in our presentation on the website.  Looking at our year 2019 financial objectives. We expect a year of good growth with a total revenue and software revenue both up 10% to 11%; license revenue up 10% to 12%; recurring revenue up 9% to 10%; and services revenue up about 14%, all at constant currency, translating to a target revenue range of €3,810,000,000 to €3,840,000,000. We see solid support on an organic basis, thanks to an estimate 100 to 200 basis points increase in the organic recurring software revenue growth to about 7% to 8% for year 2019 from 6% in year 2018. By the way, this represents a 200 to 300 basis point improvement from 7% in year 2017. This is very positive since recurring software revenue represents 70% of the total software revenue. After taking into account dilutions from acquisitions, we are targeting an operating margin of about 32% to 32.5% compared to 31.8% reported this past year. Our role is to deliver an organic operating margin increase of about 80 basis points, leaving aside the benefit of IFRS 16. We are estimating our effective tax rate for the year at about 29%. All together, this translates to our earnings per share growth objective of about 7% to 9% for year 2019. Based upon our currency assumption, we estimate a negative currency impact of 2 points of growth on EPS. Year 2019 represents the completion of the 5 years plan. Our earnings per share objective range of €3.35 to €3.40 is consistent with our expectation shared at the year 2018 Capital Market Day. Year 2019 also represents the beginning of our five years year 2023 EPS objective of about €6.  For Q1, we are targeting a revenue range of about €925 million to €945 million, an operating margin of 31% to 31.5% and an EPS of €0.78 to €0.82. Our revenue range embeds license growth rate range of 15% to 18% and a recurring software growth rate of 8% to 9%. Finally, just a further reminder that our financial objectives are presented under IFRS 15 and IFRS 16 and a non-IFRS basis with revenue growth rate at constant currency.  For purposes of the guidance -- of our guidance, we are using a USD 1.16 rate for -- per €1 in Q1 and then a USD 1.20 rate for Q2 to Q4. For the Japanese yen, JPY 130 rate per €1 before hedging throughout the year. In summary, the strategic drivers for sustainable growth we articulated in our Capital Market Day last June demonstrated a good traction during 2018. The 3DEXPERIENCE platform, the industry solution approach, the geographic diversification and expansion of our addressable markets. All together, we believe these drivers position us very well for year 2019, representing the completion of our current 5 years plan and the start of our year 2023 plan targeting €6 non-IFRS EPS.  We will be now happy to take your questions, and thanks for your participation on this call and on our earlier webcasted meeting held in Paris.
Bernard Charlès: Operator?
Operator: [Operator Instructions]. And your first question comes from the line of Jay Vleeschhouwer from Griffin Securities.
Jay Vleeschhouwer: A few questions. Let me start with Airbus. It was known that Airbus was considering a decision of this kind over the last year or more. My question is, in what ways is the Airbus plan similar to or not similar to what Boeing decided 1.5 years ago? And similarly, what are the implications or requirements of -- for DS in terms of the kinds of services that you're going to have to provide to Airbus as you have to do with Boeing to affect the deployment? And then a couple more questions.
Bernard Charlès: First, I think I don't want really to compare. I don't think it's appropriate for such kind of significant partnership, which are both calibrated for their own priorities. So let me qualify more what is announced today from the Airbus standpoint. First, I think Guillaume Faury was having forward capacity of leading the total group at the next Shareholder Meeting, I think. His statement is very clear, adoption of 3DEXPERIENCE across all programs, civil, military. So the statement in the announcement is his statement. The second important news is they do plan to use the platform adoption as a catalyst and an enabler for significant transformation on the way they develop, produce, deliver and serve their airplanes. So it is a very profound transformation that they are coupling with this adoption. Of course, the current programs are -- they are very busy with the current programs on delivery, so it will be an insertion in many existing programs for the evolution of the existing product lines they have. You noticed that it's a five years contract.  Five years is very short for an aerospace company, and you can deduce on that, that this is not an evaluation. This is really the adoption of the transformation from which they will learn and qualify, and we will together in a dedicated cooperation, how to make this systematic for future new programs. So that's what it is. Our, of course, involvement is already there. The 350 program was a success for them, for us, with V5. They want to go full speed with CATIA and 3DEXPERIENCE for new activities, but not only CATIA. Of course, it's a total product and -- industry solution experiences. So we have dedicated isolated teams to serve those clients. This is not new for us because for the last 3 years, we have been very careful about making sure that we dedicate top expertise for each of those strategic partnership because they are large and significant in terms of each of those companies to lead in their own market and be innovative. So we think we have the capacity to do it, and the structure is already in place. In fact, it was already in place last year with the delivery system and delivery structure ready for [indiscernible].
Jay Vleeschhouwer: Okay. With regard to SOLIDWORKS, my next question. About a year or 2 ago, SOLIDWORKS management had set the objective of driving towards more large transactions, larger customers, and increasing the average transaction size. The question is, how does that impact the curve? Have you seen that mix shift in the size of the SOLIDWORKS transactions? And then just to verify a calculation perhaps for Pascal. We calculate that your new commercial seats for the year for SOLIDWORKS for the first time exceeded 80,000, good growth over '17 and about double your next closest competitor. Would that be about right?
Bernard Charlès: Before you -- so you can find the data, Pascal. One thing, Jay, that I want to mention, not to preempt what Pascal will say, but just as you do notice, we are expanding the SOLIDWORKS product family with xDesign. So my comment is more for the future than as an answer to your current question. But in the future, we will have, of course, SOLIDWORKS desktop, SOLIDWORKS native under experience platform and also new kind of entry point with xDesign -- SOLIDWORKS xDesign. So there will be a mix that will create higher sophistication in terms of what Jay and many of you are used to track us, what is called the ASP, average license or average license price. Keep that in mind for the future. But for 2018 and the current...
Pascal Daloz: Yes. I will have two comments. So the traction for SOLIDWORKS is coming, in fact, not too much from, as you say, the will to penetrate more deeply the large accounts because the reality now with SOLIDWORKS being connected to 3DEXPERIENCE platform, this is the way we do it. And keep in mind, they're now in solutions. You stated a very strong message when you say we won 27,000 new customer during the year. And it's really the main engine to capture this market footprint is really SOLIDWORKS and professional channel, and we will continue to go this way. Coming back to the calculations, your 80,000 licenses is a right calculation. So there is nothing too hard on this. And last, but not least, the average selling price increase is coming, again, not too much from the large customers of SOLIDWORKS. It's coming from the fact that more and more our customers are buying the premium license. The one -- I mean, it's -- premium is a package where you have the simulations, you have the manufacturing, you have the design. So it's a kind of a rule-based approach, and this is what they are buying. And this is the main driver behind the price increase you are seeing.
Jay Vleeschhouwer: Okay. Finally, with regard to the family of manufacturing and supply chain software, DELMIA, Quintiq and so forth, could you comment, Bernard, on some of the near-term market dynamics? On the one hand, we see quite positive trends vis-à-vis aerospace production in terms of the growth at Boeing, in terms of production and so forth. On the other hand, we're seeing restructuring in the automotive industry in terms of numbers of factories, automotive production and so forth, so two seemingly opposite trends at least for the near term. So could you comment on what those dynamics mean for your near-term outlook for that family of software?
Bernard Charlès: Yes. Thank you, Jay. This is a very important question for the following reasons. Most of the current -- except Tier 1 and Tier 2, most of the current OEMs in the auto -- in their plants, they do have legacy -- huge legacy operating environment for many of their plants. The success we have with DELMIA Apriso have been tremendous with Tier 1, like more than over 100 plants of the value on other suppliers like this. But up to now, we have marginally touched the production systems of very large OEMs because they were having a lot of internal legacy code. Your comment is very key because with the progressive reshaping of their industrial capacity, there is a modernization going on. And in fact, we see more and more, for example, scope of MES/MOM being not only for the OEM plant themselves only but for the OEM plants on their supply flow. And we signed last year several large OEM contracts, not thankfully announced yet, that are exactly addressing that topic with prestigious names. So we will have a come back on that. So in short, we see it more as a positive than a negative because it calls for a new modernization of this environment. And by the way, this is the same for both Quintiq, DELMIA Quintiq and DELMIA Apriso, meaning supply optimization as well as MES/MOM.
Operator: Next question comes from the line of Monika Garg from KeyBanc.
Monika Garg: First is in Q4, all geographies were very strong except Americas, 4%. Anything to highlight there?
Pascal Daloz: Anything on this one?
Bernard Charlès: Yes, yes.
Pascal Daloz: This one comes under...
Bernard Charlès: I think America, we need to do a better job. The market is there. We do great job for new companies in America, new startups. You'll remember what the names we mentioned in electrical mobility and many of even life science equipments and so on. I think it's more on us, frankly speaking, than it is on the market itself. And we need to continue to improve our organization efficiency there and coverage.
Pascal Daloz: Just to have some few words related to what Bernard said. We had good dynamics coming from all the indirect sales channel, so the mix results are coming from our direct sales force. And the reason is, again, some significant transaction slippage from Q4 to Q1 and Q2. So to echo what Bernard said, I think there is nothing structural. It's much more on our ability to have the same discipline everywhere in the world, the same kind of leadership.
Monika Garg: Good. Then you are guiding very strong in '19, 10%, 11% growth. I'm asking this because this is -- the one main question I get is that are you seeing any impact from tariff situation, Brexit? Any macro comments, any macro concerns?
Bernard Charlès: Of course, there are a lot of signs that we follow through. And when customers are concerned, we are concerned, and we share that concern. At the same time, to date, we have not seen a really concrete sign that we've changed our mind in terms of what they need to do to continue to modernize their digital environment for the future. So -- and the pipeline is good. So of course, we are sensitive to all of that. But at the same time, I think the timing is right for many of the players even when they readjust capacity to continue to create the transformation they need to do in both their offer and their capacity to deliver. So up to now, no direct interpretation when it comes to the business we do.
Monika Garg: Good. And then you talked about pipeline visibility. Could you add some color? Like, how big is the visibility? How many months?
Bernard Charlès: Well, by definition, Monika, when we speak about pipeline, we speak about a pipeline for the different channels. The cycle for a pipeline for the professional solution is different from the pipeline from value solution, which is also different from a large business transformation client. It's basically if the unit is one and lower, it's 2 and then it's 4. So when we answer to the question of pipeline and saying good pipeline, it takes all this into account. It takes all the cycle time into account because it will be irrelevant for me to speak about a good pipeline in a direct sales business transformation without taking into account the cycle time to close transaction. So it is embedded in our answer, good visibility.
Monika Garg: Got it. Then maybe could you add some color on like Airbus as your existing big customer, how to think about uplift from this expansion deal with Airbus?
Bernard Charlès: This question was addressed this morning, and we were a little bit embarrassed because it's not easy. But the way we answered it, we didn't want to make a confusion between the megadeal we did for 10 years with their colleague, a competitor, and what we are doing with Airbus. At this point in time, it's more multiple tens of millions than the scale that we talked 18 months ago. And this is really consistent with what I just said about the nature of how we are preparing the future with Airbus, which is the insertion in existing program and then the preparation -- systematic insertion, by the way, in evolving programs and then the preparation, of course, of future programs. And as I said, 5 years is short, so you can imagine that the topic will be discussed in the next phase. Those customers don't wait for the end of the 5 years to discuss about how to expand for the next 10 years. So it's a logic -- it's a good way to proceed provided where we are with Airbus, which is already a very loyal client to Dassault Systèmes.
Monika Garg: Yes, yes. And just the last one here on the new accounting standard. It looks the yearly variability between the old and the new is minimal, but how to think about Q-over-Q variability?
Pascal Daloz: Well, in fact, again, if I make it very simple, on the full year, it's neutral. The only difference is the seasonality. So you have a bigger Q1, almost more than €50 million bigger compared to the previous conducts. And all the growth rate I gave to you are comparable. I mean, I restated the numbers for year 2018 because you'll remember, within the year, we were giving the 2 standards just to be sure that you will not discover the numbers when we will shift to the new norms. So again, keep in mind, we have a Q1 close to €1 billion. And if you'll remember, a year ago, it was almost €50 million to €60 million lower. So this is where you will have an impact. The rest, it's neutral.
Bernard Charlès: We'll take the last question.
Operator: Our next question comes from the line of Michael Briest from UBS.
Michael Briest: Just a couple of follow-ups for me. In terms of the slippage you identified in North America, can you say what sectors it was in? And I also noticed the DSOs have stepped up more broadly. There's a comment there about a back-end loaded year. Is that a feature of 3DEXPERIENCE and larger deals? Or is it something to do with the customer dynamics?
Pascal Daloz: So the first question, the two key sectors are Energy, Process & Utilities as well as High Tech. With those two, you have the majority of the sector where we have some of this slippage in the United States. On the fact that we are backloaded, the reality, when you take a platform decision, it's not something -- I mean, it has to -- you need a lot of strategy upfront of the customer to take this decision. So usually, the end of the year is a way to put pressure for the organizations to move forward. And this is the reason why for the large deal where you have a lot of 3DEXPERIENCE platform component into it, usually, they happen at the end of the year and not too much at the beginning of the year. So this is the only reason.
Michael Briest: Understood. And obviously, the guidance for Q1 software is pretty strong, 15% to 18% license growth. I recall Centric Software had quite a sort of weird calendarization around January. Is there a driver within that? Or it's these slipped deals closing?
Bernard Charlès: It's a mix. For sure, on Centric, as you'll remember very well, January is a large month for them, and we expect them to deliver on that one. And the slippage is also helping, but not only that. I mean, we had a good pipeline. And if you remember, we are in the same position we have been last year, a good Q4, a good start of the year, and some last transactions been backloaded. So it's really similar to same pattern.
Michael Briest: And just finally on the cloud. At the Capital Markets Day, you alluded to the price point and the expectation that maybe with cloud, you broaden the market and sell two cloud seats and 1 license rather than two licenses in the past. Can you talk anything on the volume of cloud business you're seeing and whether that sort of model is working?
Bernard Charlès: The model is working, in fact, very well.
Pascal Daloz: Very well.
Bernard Charlès: Very, very well. It's affordable for all the startups. They're now highlighted this morning. But more and more, we see significant transactions on the cloud, and we are...
Pascal Daloz: And extensions.
Bernard Charlès: And extensions. And we are not so far from having an increased amount of transactions side on the cloud compared to On-Premise. So things are really moving in the right directions on this point. And the price point and the way we have built the model, and you remember very well, the way we did it is working.
Michael Briest: Sorry, Pascal, can you qualify what you mean by the volume of deals or value of deals is similar? I'm not quite sure I understood that.
Bernard Charlès: Again -- it's Bernard. I've been specific on this, this morning. For us, we count the volume of data in our cloud, the number of users, the time they spend. When it will become material on the revenue, count on me, I will disclose on the number. But right now, I think it's below 10%, for sure, of the revenue.
Operator: Thank you. No further questions. Please continue.
Bernard Charlès: Okay. So thank you very much, all of you, for participating this morning to the analyst presentation this afternoon. And of course, we stay reachable to address any further question. And thank you for your interest in Dassault Systèmes and talk to you again in April for the Q1 results. Have a good day.
Operator: Thank you. This does conclude our conference for today. Thank you for participating. You may all disconnect.